Operator: Greetings, and welcome to the FleetCor Technologies Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Eric Dey, CFO of FleetCor Technologies. Mr. Dey, you may begin.
Eric Richard Dey - Chief Financial Officer & Secretary: Good afternoon, everyone, and thank you for joining us today. By now, everyone should have access to our third quarter press release. It can be found at www.fleetcor.com under the Investor Relations section. Throughout this conference call, we will be presenting non-GAAP financial information, including adjusted revenues, adjusted net income and adjusted net income per diluted share. This information is not calculated in accordance with GAAP, and may be calculated differently than other companies' similarly titled non-GAAP information. Quantitative reconciliations of historical non-GAAP financial information to the most directly comparable GAAP information appears in today's press release and on our website as previously described. Also, we are providing 2015 guidance on a non-GAAP basis. Finally, before we begin our formal remarks, I need to remind everyone that part of our discussion today will include forward-looking statements. This may include forward-looking statements about our 2015 guidance, new products and fee initiatives, and expectations regarding business development and acquisitions. They are not guarantees of future performance, and therefore you should not put undue reliance on them. These results are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Some of those risks are mentioned in today's press release. Others are described in our Annual Report on Form 10-K. These documents are available on our website as previously discussed, and at www.sec.gov. With our disclosures out of the way, I would like to turn the call over to Ron Clarke, our Chairman and CEO.
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Okay, Eric. Thanks. Good afternoon, everyone, and as always thanks for joining the call today. Up front here, I'm going to plan to cover just two subjects. First, I'll provide a little color on Q3, and then second, I'll comment on our full year 2015 guidance. Okay. So on to the quarter. We reported Q3 revenue of $451 million, up 53%, and $1.67 in cash EPS, up 22%, so 53% top line, 22% bottom line. Included in the $1.67 of reported cash EPS was approximately $0.06 to $0.07 of net tax favorability, which implies $1.61 without the tax benefit. As a reminder, we did guide to $1.61 for the quarter when we last reported. Fundamentals were quite good in Q3, organic revenue growth of 9% on a constant like-for-like basis, excluding SVS. The environment was essentially neutral against our last reported guidance with above average spreads effectively neutralizing low fuel prices and weak FX. Of course, when you look at the macro environment against the prior year, it was quite challenging, giving us an overall negative impact estimated at $0.28 for the quarter. So that obviously would reduce our cash EPS profit growth from a like-for-like rate of 42% to our reported EPS growth rate of 22%. So it continues to be quite challenging. The story of the quarter is really summarized in three themes. So first off, our spread-based businesses, which would include CFN and Fuelman for example, were up significantly in the quarter on wide spreads. And that help neutralize our fuel-price-sensitive businesses like MasterCard and our U.S. partner portfolios, which were negatively impacted by lower fuel prices. Second, our two largest Comdata businesses performed quite well in the quarter. NAT, which is our North America Trucking unit, saw its gallons expand 6% in the quarter, which is partially the result of the step-up in new sales investment we've made. And the Comdata corporate payments business grew revenue 18% in the quarter, that's excluding healthcare, and also had a terrific sales quarter. Those implementations should really help volume in 2016. And kind of the last theme, as always some of our other businesses had good growth in Q3, again CLC was up 16% in the quarter; NexTraq, which is our U.S. telematics business, up 12% in the quarter; and our Shell Europe outsourcing business was way up versus last year as we expanded the number of Shell markets served to five. Also in Q3, we had a number of other pretty significant accomplishments. So first off, we're delighted that we've extended our commercial card agreement with BP U.S. So this represents the second renewal of that relationship, and are really happy to be able to continue servicing BP for years to come. Second, we actually extended our Shell Europe relationship in the quarter. So Shell agreed to provide us with some additional small cross-border accounts – think accounts that go between countries to fuel. So this expansion increases the overall client count and the overall volume of that outsourcing assignment. Third, we appointed two new executives to lead our two biggest Comdata businesses, and both of those guys have what we think is the right experience to help accelerate growth there. And lastly, Uber keeps growing. Uber's September volume was up 4x versus June, and our early estimates for 2016 are to see Uber volume more than double versus this year. So some exciting things. So look, in summary, Q3 was a very good quarter, basically on our prior guidance and a lot of progress against our strategic initiatives. Okay, let me move on to our full year 2015 guidance. We are maintaining our cash EPS guidance for full year 2015 at $6.22, at the midpoint. And the math goes something like this. Last time we had guided to $1.61 in Q3 and $1.68 in Q4, totaling $6.22 full year 2015. Today, we're reporting $1.67 in Q3, outlooking $1.62 in Q4, so, again totaling $6.22 full year 2015. The two unusual impacts to the second-half guidance are happy, $0.06 to $0.07 this quarter from the net tax favorability, and a negative approximately $0.06 expected in Q4 from the continuing lower fuel prices and weak FX versus the last time we reported. So look, the operating fundamentals of the business are quite similar to when we spoke last time, with the exception of these two unusual items, a plus and a minus here in the second half. So with that, let me turn the call back over Eric. He'll provide some additional detail on the quarter and our full year outlook. Eric?
Eric Richard Dey - Chief Financial Officer & Secretary: Thank you, Ron. For the third quarter of 2015, we reported revenue of $451.5 million, an increase of 52.9% from the third quarter of 2014. The revenue from our North American segment increased 114.2% to $334.9 million from $156.3 million in the third quarter of 2014. Included in the third quarter results was the impact of Comdata, which was acquired on November 14, 2014. Revenue from our International segment decreased 16.1% to $116.5 million from $138.9 million in the third quarter of 2014. For the third quarter of 2015, GAAP net income increased 22.3% to $116.8 million or a $1.24 per diluted share, from $95.5 million or $1.11 per diluted share in the third quarter of 2014. The other financial metrics that we routinely use are adjusted revenues and adjusted net income, which we sometimes also refer to as cash net income or cash EPS. Adjusted revenues equal our GAAP revenues less merchant commissions. We use adjusted revenues as a basis to evaluate the company's revenues, net of the commissions that are paid to merchants who participate in certain card programs. We prepare adjusted net income to eliminate the effect of non-cash items that we do not consider indicative of our core operating performance. A reconciliation of adjusted revenues and adjusted net income to GAAP numbers are provided in Exhibit 1 of our press release. Adjusted revenues in the third quarter of 2015 increased 55.3% to $419.8 million, compared to $270.3 million in the third quarter of 2014. Adjusted net income for the third quarter of 2015 increased 34% to $157.6 million or $1.67 per diluted share, compared to $117.6 million or $1.37 per diluted share in the third quarter of 2014. Elements of the macroeconomic environment had a significant impact on our results in the third quarter, specifically, market fuel spread margins, fuel prices, and foreign exchange rates. In the aggregate, we estimated that these macroeconomic items negatively impacted our business in the third quarter of 2015 versus the third quarter of 2014 by approximately $47 million in adjusted revenue, or approximately $0.28 in adjusted net income per diluted share. On a constant currency fuel price and market spread margin basis, we would have reported approximately $1.95 in adjusted net income per diluted share in the third quarter of 2015, compared to $1.37 in the third quarter of 2014, or a growth rate of approximately 42%. Changes in foreign exchange rates were unfavorable in all geographies for the quarter, and overall, we believe negatively impacted adjusted revenues during the quarter by approximately $27 million. Fuel prices also decreased during the quarter versus prior year, which were partially offset by favorable fuel spread margins. And although we cannot precisely calculate the impact of these changes, we believe they negatively impacted adjusted revenues by approximately $20 million. To better understand the organic growth for the quarter, we calculated revenues using constant currency, fuel price and market spread margins. Based on these criteria, we estimate that we would have reported an approximately 9% organic growth rate for the quarter, excluding the SVS business, and approximately 7% on a consolidated basis. For the third quarter of 2015, transaction volumes increased 342% to 417.1 million transactions, compared to 94.4 million transactions in the third quarter of 2014. The increase in total transactions was primarily due to the acquisition of Comdata on November 14, 2014, and also organic growth in our businesses. Excluding the impact of Comdata, our transaction volumes were 98 million in the third quarter of 2015, compared to 94.4 million transactions last year, or a growth rate of approximately 4%. North America segment transactions grew 721%, driven primarily by the acquisition of Comdata, and also organic growth in our U.S. businesses. Transaction volumes in our International segment were down approximately 7% at 45.6 million transactions. Transaction volumes in the International segment were impacted primarily by market softness in some of the international businesses. For a discussion on revenue per transaction, we will exclude the impact of the SVS business, which had approximately 274 million transactions in the quarter at a very low revenue per transaction. Revenue per transaction for the third quarter of 2015, excluding the SVS business, decreased 11% to $2.78 from $3.13 in the third quarter of 2014. Revenue per transaction can vary based on the geography, the relevant merchant and customer relationship, the payment product utilized, and the types of products or services purchased. The revenue mix was influenced by our acquisitions, organic growth in the business, and fluctuations in the macroeconomic environment as previously discussed. Revenue per transaction, excluding SVS, decreased approximately 16% in North America, due primarily to lower fuel prices during the quarter versus the prior-year quarter, partially offset by slightly higher spread margins during the quarter. In the International segment, revenue per transaction decreased 9.6% due primarily to the unfavorable impact of foreign exchange rates across all of our geographies. This unfavorable impact was partially offset by organic revenue growth in several lines of business. Now let's shift over and discuss some of the other drivers of third quarter performance. For our North American segment, most of our lines of business performed well. On a constant currency, fuel spread and fuel price basis, we estimate that our organic growth rate in the quarter was approximately 14%, excluding the impact of Comdata acquisition. Some of the positive drivers in North America revenue during the quarter were similar to the last several quarters, including the exceptional performance of our MasterCard product, which had estimated revenue growth of approximately 33% over the third quarter of 2014, measured in constant fuel price. The growth in MasterCard was driven by increases in both transactions and revenue per transaction measured on a constant fuel price basis. CLC had another solid quarter with 16% revenue growth over the third quarter of 2014. This revenue growth was driven primarily by increases in our CheckINN Direct product, which targets smaller accounts. As I mentioned earlier, the macroeconomic environment was mixed. Slightly favorable fuel spread margins in the quarter versus the third quarter of 2014 partially offset the impact of lower fuel prices during the quarter. In total, we believe these items negatively impacted adjusted revenues by approximately $20 million. And finally, the third quarter also benefited from our acquisition of Comdata. Our Comdata business, excluding SVS, performed well in the quarter and had an organic growth rate of approximately 8% on a constant fuel price basis versus prior year. As I mentioned last year, the Comdata organic growth rate in 2015 was impacted by lower RFID sales in our trucking business and higher opt-out rates in the healthcare segment. Also, as I mentioned earlier, International segment revenue was down approximately 16% in the third quarter of 2015 versus the third quarter of 2014. This decrease was driven primarily by unfavorable foreign exchange rates in all geographies, which negatively impacted adjusted revenues by approximately $27 million in the quarter versus last year. On a constant currency and fuel price basis, organic growth was approximately 4% for the third quarter. Some of the international highlights for the quarter include the continued conversion of the Shell small business portfolio. We are now in a total of five European markets: Germany, Austria, Netherlands, France and Belgium, with a plan to convert two additional new markets in the fourth quarter of 2015. Our Mexico business continued to perform well and posted double-digit gains, and on the downside the economies in Brazil and Russia continue to struggle and are impacting volumes in those markets. Now moving down the income statement, total operating expenses for the third quarter were $263 million compared to $151.1 million in the third quarter of 2014, an increase of 74.1%. As a percentage of total revenues, operating expenses increased to 58.3% of revenue compared to 51.2% in the third quarter of 2014. Included in operating expenses are merchant commissions, processing expenses, bad debt, selling and general administrative expense, depreciation and amortization expense, and other operating net. Included in the third quarter of 2015 operating expense were additional operating expenses and significant additional amortization expense related to the acquisition of Comdata. In addition, non-cash stock compensation included in general and administrative expense was $13.9 million in the third quarter of 2015, compared to $8 million in the third quarter last year. Credit losses were $5.3 million for the quarter, or approximately 3 basis points, compared to $5.8 million or 12 basis points in the third quarter of 2014. The 9 basis point decrease in bad debt was due primarily to the inclusion of Comdata in the quarter, which had bad debt as a percentage of its billed revenue significantly below the FleetCor average, and lower bad debt in our Russia business compared to last year. Depreciation and amortization expense increased 88.7% to $48.5 million in the third quarter of 2015 from $25.7 million in the third quarter of 2014. The increase is primarily due to amortization of intangible assets related to the Comdata acquisition. Also, the company booked a loss of $6.1 million in the third quarter of 2015 related to our minority investment in Masternaut, compared to a loss of $2.2 million in the third quarter of 2014. The additional loss is partially due to the impact of restructuring the operations of the business. Interest expense increased 253% to $17.2 million in the third quarter of 2015 from $4.9 million in the third quarter of 2014. The increase in interest expense was due primarily to additional borrowings to finance the Comdata acquisition. Our effective tax rate for the third quarter of 2015 was 29.4%, compared to 30.1% for the third quarter of 2014. The decrease in the effective tax rate was due primarily to favorable net tax adjustments related to U.S. planning initiatives that were implemented during the third quarter. The net impact of those adjustments, which involved amending tax returns for several prior years, was approximately $0.06 to $0.07 in adjusted net income per diluted share. We expect that the income from this planning initiative will have a favorable impact on tax rates in future years. Partially offsetting the impact of this positive impact was the inclusion of the Comdata business, which operates primarily in the U.S. with a higher overall tax rate versus the average FleetCor rate. Now, turning to the balance sheet. We ended the quarter with approximately $551.8 million in total cash. Approximately $125.4 million is restricted, and are primarily customer deposits. As of September 30, 2015, we had approximately $1.944 billion outstanding on our Term A loan, $248 million outstanding on our Term B loan, and approximately $235 million drawn on our revolver, leaving approximately $800 million of undrawn availability. We also had approximately $665 million borrowed against our securitization facility. As of September 30, 2015, our leverage ratio was 2.49 times EBITDA, down from 2.69 times in the second quarter, which is well below our covenant level of 4.25 times EBITDA. We intend to continue to use our free cash flow to temporarily pay down the balance on our revolving credit facility and securitization facility, and maintain liquidity for acquisitions and other corporate purposes. Finally, we are not a capital-intensive business, and we spent only $13.3 million on CapEx during the third quarter of 2015. Now, on to our outlook for the remainder of 2015. Our fiscal 2015 guidance assumes that the impact of declining fuel prices and foreign exchange rates will continue in the fourth quarter, and provide an additional unfavorable impact of approximately $0.05 to $0.07 in adjusted net income per diluted share versus the guidance we provided on the second quarter earnings call. We expect that the negative impact of the macroeconomic environment will offset the impact of our approximate $0.06 beat in the third quarter versus the guidance we previously provided. As a result, we are maintaining the full-year adjusted net income per diluted share guidance provided on the second quarter's earnings call. For fiscal 2015, our financial guidance and assumptions are as follows: Total revenues between $1.680 billion and $1.720 billion, adjusted net income between $580 million and $590 million, and adjusted net income per diluted share between $6.18 and $6.26. The company's fiscal year guidance assumptions for 2015 are as follows: Weighted average fuel price of approximately $2.45 for the fourth quarter in the U.S., compared to $3.30 per gallon average in the U.S. in the fourth quarter of 2014, down approximately 25%. Market spreads lower in the fourth quarter of 2015 compared to the fourth quarter of 2014. As a reminder, spread levels in the fourth quarter of 2014 were at record levels. Foreign exchange rates equal to the October 1 through October 12 average, a negative impact to adjusted revenue of approximately $15 million to $18 million compared to the fourth quarter of 2014. We are including the SVS business for the remainder of the year. Fully diluted shares outstanding of approximately 94.3 million shares, a full-year tax rate of approximately 31.5% to 32%, and as always, no impact related to acquisitions or material new partnership agreements not already disclosed. Our adjusted net income per diluted share guidance at the midpoint of the range represents an approximately 21% growth rate over the $5.15 in adjusted net income per diluted share reported in 2014. And with that said, operator, we'll open it up for questions.
Operator: Thank you. At this time we will be conducting a question-and-answer session. Our first question today is coming from Ramsey El-Assal from Jefferies. Please proceed with your question.
Ramsey El-Assal - Jefferies LLC: Hi, guys. Great quarter.
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Hey, Ramsey.
Ramsey El-Assal - Jefferies LLC: Hi. I wanted to just – and I may have missed this, but in the fourth quarter specifically, the beat is not flowing through, obviously, to the full year, largely because of the macro headwinds, but there's no incremental caution in any part of your business, it's basically just the macro that is preventing the top line – the great top-line beat this quarter from flowing through to the full year?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Correct.
Ramsey El-Assal - Jefferies LLC: Okay.
Ronald F. Clarke - Chairman, President & Chief Executive Officer: That is the assumption, Ramsey.
Ramsey El-Assal - Jefferies LLC: Okay. Great. And it sounds also like some of the top line – the top line beat didn't necessarily flow all the way through to EPS, obviously there was the tax benefit there, but excluding that you called out some higher expenses related to Comdata. I mean, are these – will we see your sort of operating margins kind of revert to more normal levels going forward? Was most of the incremental expense in the quarter kind of fleeting in nature?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah, Ramsey. It's Ron. I'd say two things, one, we had $1 million or $2 million of what we call kind of one-time on budget, unexpected deal-related things, bonus things, things like that. And then two, we have a JV telematics thing called Masternaut that kind of performed worse. So I'd say those were the two negatives basically underneath revenue.
Ramsey El-Assal - Jefferies LLC: Okay. Got it. And then lastly from me, on SVS, are you – can you update us on your sort of long-term plans for that subsidiary? I know you've got the ADP JV structured there. I was wondering if there is any update in terms of divesting the asset, keeping it in the company longer-term, or what are your thoughts there?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah, we're still working on this other alternative we mentioned in the last call, and I'd say certainly by the time we talk next, we'll either land that plane or not. I'd also say that the couple of interested buyers appear to continue to be interested; they continue to call. So, I'd say our hope is to proceed on this basis that we've been going, but I'd say we'd have a definitive answer next time around.
Ramsey El-Assal - Jefferies LLC: Great. Sounds good. Thanks. Thanks a lot for your time.
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Thanks.
Operator: Thank you. Our next question today is coming from Sanjay Sakhrani from KBW. Please proceed with your question.
Steven Kwok - Keefe, Bruyette & Woods, Inc.: Hi. This is actually Steven Kwok filling in for Sanjay. Thanks for taking my questions. I guess, first question is just around the healthcare vertical. One of your public peers have been acquiring other companies within the space, and just wanted to see if you could provide some color around the competitive dynamics? And then additionally, I think last time you called out that there was an account that you could potentially get back, and just wanted to get an update on that, around that account. Thanks.
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah. It's Ron. Let me take the second one first. We did call out, I think in the first quarter report, that an account had dropped off. So, we've gotten confirmation that that account plans to come back, which is good news. I'd say it's still not clear to us when exactly we'll start to book more revenue, but we have been advised that they plan to come back online. Which is good news. And the second question was around WEX's healthcare. Was that the question?
Steven Kwok - Keefe, Bruyette & Woods, Inc.: Yeah. And just around the competitive nature of the healthcare segment?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah. Again, I'd say that we would not run into WEX generally, in terms of the healthcare segment that we're focused on. Again, their Evolution1 really does very different things than our line of business, so I would say that competitively, we're bidding against the other treasury banks, fundamentally, in the healthcare segment that we're attacking.
Steven Kwok - Keefe, Bruyette & Woods, Inc.: Got it. Thanks for taking my questions.
Operator: Thank you. Our next question today is coming from Jim Schneider from Goldman Sachs. Please proceed with your question.
James Edward Schneider - Goldman Sachs & Co.: Good evening. Thanks for taking my question, guys. I guess the first one I would have is in terms of the revenue per transaction increase in Q3, was that all down to higher spreads or was there also the impact of pricing in Comdata or some other part of business?
Eric Richard Dey - Chief Financial Officer & Secretary: Hey, Jim. This is Eric. Well, first, the revenue per tran of third quarter was actually down on a reported basis. So, I'm not exactly sure what you're looking for. If you exclude the impact of the macro environment, and you exclude the acquisitions as an example last year, then revenue per tran was actually up. So the way we calculate it, again, excluding the macro and excluding Comdata, revenue per tran on a consolidated basis was around $3.41 compared to around $3.10 last year, so it was up.
James Edward Schneider - Goldman Sachs & Co.: Yeah. I was just talking about North America, excuse me. Okay. Maybe I'll take that one offline, but as a follow-up, maybe can you provide a little bit of an update on kind of where the landscape stands with the M&A environment in Europe, and whether you think that's kind of any closer to getting fruition outside of your Shell deal, where obviously you performed very well?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: So you – are you – Jim, on partners or you're on acquisitions?
James Edward Schneider - Goldman Sachs & Co.: Both, actually, if you can provide an update on both ends of it?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah. So, on the first one, I think, I feel like we're replaying a tape. But the answer is there are a couple of oil partners in Europe that are actively looking, RFI-ing if you will, processing and/or outsourcing agreements. So, although we say we're hopeful in terms of time, our guess is that at least one or the other will make some kind of a decision in 2016. So, we are, as you can imagine, in a couple of processes, and hopeful that they'll make some decision. On the deal side, we remain busy. We're in a much better place than let's say six months ago – got our leverage penciled out at, what, 2.5 times. We've...
Eric Richard Dey - Chief Financial Officer & Secretary: 2.49.
Ronald F. Clarke - Chairman, President & Chief Executive Officer: ...got some people in Comdata; we've done most of the integration work we want to do there. So we've got three or four things that are active that we are on now, one of which I'd say is pretty late innings. So I'm hopeful that we will provide some news to you guys shortly here.
James Edward Schneider - Goldman Sachs & Co.: That's helpful. And then just to clarify my comment before, when I was talking about revenue per transaction stepping up, I meant from Q2 to Q3 in North America, so from $0.73 to $0.90, that's what I was asking about.
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah. I think both of those things that you said directionally are right, Jim. One, clearly the per-tran grows when you have a good spread quarter like we did in Q3. And your second comment is also right, that some of the price recovery things that we did earlier in the year have come kind of to fruition, and so we're kind of getting all of the benefit, or most of the benefit of those now, as you run through Q3. So, I'd say both of those statements are right.
James Edward Schneider - Goldman Sachs & Co.: Thank you very much.
Operator: Thank you. Our next question today is coming from Phil Stiller from Citi. Please proceed with your question.
Philip Edward Stiller - Citigroup Global Markets, Inc. (Broker): Hi, guys. I just wanted to ask about the International business. So the transaction growth decelerated a bit. I think, Eric, you said the organic revenue growth was about 4% in the quarter. Just wondering how you guys were thinking about that on a go-forward basis? I know some of your business there are struggling with the economy, but just wondering how you guys think about that as we progress over the next few quarters?
Eric Richard Dey - Chief Financial Officer & Secretary: Yeah. I mean certainly there is a lot of puts and takes, Phil. We certainly are getting impacted by places like Brazil. Transaction counts in Brazil were actually down, I don't know, around 10% approximately. But yet our revenue in Brazil was actually flat in local currency, kind of year-over-year. We're seeing a similar story in Russia, where the economy is causing transactions to effectively step back a little bit, but we're seeing a lesser impact when we look at the revenue from the business on – in a constant currency basis.
Philip Edward Stiller - Citigroup Global Markets, Inc. (Broker): Okay. And I guess when you guys acquired the Comdata business, you talked about getting that to a 10% growth rate. It's certainly tracking towards that, but not there yet, but just wanted to get an update on your confidence getting to that level?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah. Phil, hey, it's Ron. I'd say that we've just provided a Q4 forecast update, and sitting inside that is an expectation that both of the big businesses, the trucking business and the corporate payments business, will be at that or above that. So that's kind of in this quarter's forecast. So, I'd say that other than that little surprise we head back in Q1, I think our message is that the things are going better outside of the healthcare slowdown that we had. I think it's tracking to what we thought. And sales are up, I think I mentioned in my opening that the Q3 corporate payments was literally an all-time record sales quarter, which doesn't give us any revenue in the quarter that you sell it, because it's four months to six months implementation. But when you're selling a lot, you're going to get revenue at different dates. So I'd say that both in the trucking business, where we've added 50 people, and in corporate payments where we've added a bunch, we're seeing the early signs of the sales stepping up, which is – really bodes well for next year.
Philip Edward Stiller - Citigroup Global Markets, Inc. (Broker): Good to hear. Last one, somewhat related topic. Maybe we can get your comments on the EFS-WEX transaction, what that might mean for you guys strategically, either from a product – competitive perspective or pricing? That would be great. Thanks.
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah. I'm not sure we would have much to say, in terms of whether our view of WEX owning it does something or doesn't do something to the business. I'd say that we know the business well, Phil. We diligenced the business pretty hard when it was being sold, and we obviously had a chance to buy that business, and not to gloat, but we think we bought the better business, which we did purposefully. So, I'd say we'd wait and see. We're kind of happy with, again, how our trucking business is competing and growing now. And we'll, I guess, stay tuned to what they might do that would be different.
Philip Edward Stiller - Citigroup Global Markets, Inc. (Broker): Okay. Thanks guys.
Operator: Thank you. Our next question today is coming from Ashish Sabadra from Deutsche Bank. Please proceed with your question.
Ashish Sabadra - Deutsche Bank Securities, Inc.: Hi, yeah. Good quarter here. So on the North America, we saw the organic growth improve compared to the second quarter, looks like CLC also showed improvement, and then MasterCard universal product is delivering pretty solid growth. Just wanted to see if there are any kinds of events there that you would like to highlight, what's driving the improvement in North America?
Eric Richard Dey - Chief Financial Officer & Secretary: Yeah. Hey, Ashish, this is Eric. You know, it's more of the same stuff. I mean in all honesty, it really is the MasterCard portfolio continued to perform well, as we called out on the call, growing around 30% organically on a constant fuel price basis, and CLC continues to do well, and we had some small partner wins. Prior year, we're seeing some more revenue from those things as we get into this year. So, it's just really a combination of all of those, those things, that just continued into the third quarter. So really, it was a – as Ron indicated, it was a pretty good quarter for us.
Ashish Sabadra - Deutsche Bank Securities, Inc.: That's great, that's great. I was wondering if you can just provide what the Comdata revenue was in the quarter?
Eric Richard Dey - Chief Financial Officer & Secretary: Ashish, we don't disclose that specifically.
Ashish Sabadra - Deutsche Bank Securities, Inc.: Okay.
Eric Richard Dey - Chief Financial Officer & Secretary: I mean that's one of our businesses, we've got lots of businesses around the world. So, we don't want to talk about individual businesses.
Ashish Sabadra - Deutsche Bank Securities, Inc.: No, no. And then quickly on the expense, a follow-up on the expense side. So Ron mentioned a couple of expense items. So when I was looking on the individual line item, I saw the processing expenses were a bit high in third quarter. Any particular call-outs there?
Eric Richard Dey - Chief Financial Officer & Secretary: No, it's just more, again, business as usual. You know, we are – we do have Comdata this year, we didn't have Comdata last year. So, again, all of those expenses, the increase in the expense is really related to owning that business this year versus last. With the exception of that, there really is no unusual item in the quarter versus last year, other than the couple of million, again, that Ron called out, but those were in a number of different lines versus just one.
Ashish Sabadra - Deutsche Bank Securities, Inc.: Thanks. And again, good quarter.
Operator: Thank you. Our next question today is coming from David Togut from Evercore ISI. Please proceed with your question.
David Togut - Evercore ISI: Thanks. Good afternoon, Ron and Eric.
Eric Richard Dey - Chief Financial Officer & Secretary: Hey, David.
David Togut - Evercore ISI: The 33% direct MasterCard growth was very strong. Could you break down the underlying unit growth at constant macro factors, versus any pricing increases you implemented?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Hey, David. It's Ron. It was high teens for the quarter.
David Togut - Evercore ISI: High-teens unit volume growth?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Correct.
David Togut - Evercore ISI: Great. And then where do you stand with that product? I think before you've said you're in the early innings. Do you still think you have a long runway for that product?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Well, I mean, I'd just call out the growth rate. But I think we've said when we introduced that product, whatever, five years ago that finally our company got a product that can work in every geography and basically for every size account. And so it's taken us a long time to build up the sales and distribution system to kind of chase that whole market. So I'd would say that, yeah. We've done an early look at our 2016 plans, and I'd say, we are bullish again next year on the thing, so plenty of runway still.
David Togut - Evercore ISI: Great. And, then just shifting gears to Shell, you called out an expansion of that relationship to pick up cross-border. Can you dimension for us how big that incremental revenue might be on an annual basis? And then where you might stand with the expansion of that relationship further, perhaps into the larger fleet portion of the fuel card portfolio at Shell?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah. So the first part I'd frame at kind of 10% to 20%. So, again to be specific, if you went into let's say Germany, Shell transferred X number of accounts and Y number of liters to us. And then have decided, hey, look there are some other small accounts there that go cross border, we might as well give those to FleetCor. So that'll add, call it a 10% or 20% kind of volume and revenue to the original assignment. And I'd say on the second one, Shell is from the show-me state, that they are going to want to see us finish these other markets. I think Eric mentioned in his comments, our plan is to put two more markets live. So bringing the things to seven, and then finishing that up in the first quarter. So they, a) they want us to I'm sure complete, David, the initial assignment, b) show some progress in selling in these markets, and to the extent that we do those two things well, my sense is they would be inclined to do more with us. But I'd say it's probably into – the middle of next year would be my guess.
David Togut - Evercore ISI: Got it. And then staying on Europe, you've announced earlier the rollout of a universal fuel card for Europe along the same sort of geographic footprint as Shell. Where do you stand with the rollout of that? And when that – when might that be material to revenue?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah. I'd say that has proven not quite as slow and difficult as Europe outsourcing agreements, but the patchwork of markets and the taxation, we've done a lot of rework in the kitchen, I'd say, on the product trying to get the thing right. We have another launch, I think towards the end of this month, that we think finally has it right. And the same in sales, we have been trying to split the sales commitment we have to Shell versus this universal product, and kind of tend to Shell first. So, I'd say that we're progressing, but I'd say slower than we've hoped. I mean with that said, I think you're an advocate like we are. We still think that, just like the U.S., that that product, if we can get it dialed in right, has just enormous potential, because it would be a one-of-a-kind, fundamentally, on that continent. There is no other control card that works everywhere that we're aware of. And so, difficult kind of getting out of the test kitchen, but I'd say we remain incredibly excited about the thing over the mid-term.
David Togut - Evercore ISI: Would that product be interchange-based pricing? Or would you go a different route, given the interchange caps coming next month in Europe?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah. It would be both. Again, I think the commercial piece, the way we're doing it would be fundamentally protected. But we have some other as normal ideas of how to get paid on that product. So, I'd say the chase for us is customers, David. Our game is to figure out how to build a distribution pike to sign up accounts, and we know how to make money. So, I think the answer is we're chasing account first.
David Togut - Evercore ISI: Got it. Quick last question on telematics. You've said in the last six months, nine months, you're evaluating what you do strategically in that business. What are your latest thoughts?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: It's actually a pretty good question. I'd say that – a couple of things. One, I'd say that the business as we've gotten to know it better is actually a better business than I think we thought. We bought this business, it's actually here in town in Atlanta. I think – I don't have in front of me – but I think the profits will be up about 4x, this year versus the year we bought it. And I think I mentioned the growth rate is double digit, and the early plan we have for next year is double digit. So the first comment is, I think we like the – at least the U.S. telematics business and category – a bit more, maybe, than we thought. And I'd say we're probably slightly less optimistic about the FleetCor benefit. So we've spent about a year trying to cross-sell and use our clients and sales people, fuel card people, to try to boost telematics, and it's working, but I'd say, David, at call it a third to half of what we expected it could add. So it's obviously still helping the business, but not helping it as much. So, we actually had a review of this with the board, and I'd say our conclusion is that we're in less of a rush, now. We like the space a little more than maybe we thought, and it's working, but not quite as much. So I'd say we're going to kind of hang in at least another year and get a sense of whether we like it a little or a lot.
David Togut - Evercore ISI: Understood. Thank you very much.
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Good to talk to you.
Operator: Thank you. Your next question is coming from Tim Willi from Wells Fargo. Please proceed with your question.
Timothy Wayne Willi - Wells Fargo Securities LLC: Thank you. Good afternoon, Ron and Eric. Two questions, first on International. With the decline in the transaction growth that you attributed to Russia and Brazil, just within those two regions, as you went through the quarter and obviously through October, had trajectory in the year-over-year transaction metrics flattened out, or did you see it continue to sort of worsen as you went through the quarter, just to get a feel for where we might be with those two regions?
Eric Richard Dey - Chief Financial Officer & Secretary: Tim – this is Eric – I would say, if you go back and look at the United States back when we were in recession a number of years ago, I would say there's a lot of similarities to what we're seeing in both Russia and Brazil. Their economies have kind of slowed down; they've got negative GDP growth and that has kind of impacted transaction volumes, really, to a very similar degree to what we saw in the United States back in like 2008 and 2009.
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah, Tim, hey, it's Ron. Let me maybe just add something to what Eric said. I mean, the economy – obviously, the GDP in those two counties is not good. But we're, remember, in workforce payments.
Timothy Wayne Willi - Wells Fargo Securities LLC: Yeah.
Ronald F. Clarke - Chairman, President & Chief Executive Officer: So if you take Brazil, a big part of our business there is food cards, and a big part of our business is transport or commuter cards, which are tax-advantaged products for employees. And so, not only does the economy shrink, there's less employment, but there's less formal employment. So remember, our products require employers to formally have the guy on the payroll to make these products work. And so, our analysis is showing that not only are we kind of dropping a bit with the general economy, but that the formal employment thing is actually kind of heading back the other way as people – employers struggle. And so, the softness that Eric refers to in those two particular places is quite large in our lines of business. And we're selling a lot – I mean, the thing that's so weird about it is – we've created a bunch of new products, particularly in Brazil, and we're starting to sell a decent amount of them, but the softness is so great we're barely getting back to where we started. And so, that's the challenge there.
Timothy Wayne Willi - Wells Fargo Securities LLC: Okay. Great. I appreciate that. And then the second question I have is just around the corporate payment. You talked about nice, very strong quarter of sales. I guess now that you've had that business almost a year officially, and obviously knew it prior to the actual acquisition announcement, any thoughts, or – a) around the selling process, to get where you're at where you had a great quarter, just what was learned? Is there a new approach? Or is there some stuff you've done around the product and the platform that's aided those efforts, outside of just adding bodies? And then, if I could just add on to that, around that business overall, what are your thoughts around what you hear from the networks about maybe providing you some tailwinds around corporate payments? They talk about it periodically, but you're a bit closer to it at the ground level. Anything interesting going on there that might present a tailwind for that business over the next several years?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah. So let me, Tim, go to the first one first. I'd say not so much on, are we doing a lot to the product. I'd say that Comdata had a very good corporate payments product when we bought the company, which is one of our motives. I'd say what we've done is a lot around the targeting, so who to sell it to, and a lot around the sales force investment and marketing investment to try to sell more. So I'd say that the success in the quarter is really around marketing and selling more than some big product enhancement. And around the networks, I'd say, obviously Visa's got a real interest even though we're with MasterCard; and MasterCard is incredibly helpful in pushing and providing leads and talking that up, right, as a way to get more card-based payments. And so they've been a very, very good partner to Comdata, in terms of helping us grow.
Timothy Wayne Willi - Wells Fargo Securities LLC: Okay. Great. That's all I had. Thanks very much for the time.
Operator: Thank you. Our next call is coming from Tien-tsin Huang from JPMorgan. Please proceed with your question.
Tien-tsin Huang - JPMorgan Securities LLC: Thank you. I hope you guys are doing well. I guess I'll ask on the – like Tim asked – but for the United States. How healthy are the fleets in general, any change in same-store, or just activity?
Eric Richard Dey - Chief Financial Officer & Secretary: Hey, Tien-tsin. This is Eric. Yeah, I would say when you look at it at a consolidated basis, so you look at all of our products, our same-store sales are actually up a little bit, probably up around 1%, but when you break it down specifically and look at some individual businesses, like specifically – maybe Fuelman, which is our small to mid-size customer product, which is more geographically focused, you would see a little more kind of same-store sales impact in those markets, because their product is kind of centered more in Louisiana, Texas, Oklahoma. So you're seeing some impact there from kind of oil and gas, as an example, and maybe even some smaller trucking clients. But then when you shift over and look at businesses like Comdata, Comdata same-store sales are actually up a little bit. So again, I think it kind of various by product. But when you look at our business at a consolidated level, I'd say were flat to up a little bit.
Tien-tsin Huang - JPMorgan Securities LLC: Okay. That was good to know. And just on the acquisition front, it sounds like you do have one that's getting close to the finish here. But just how have evaluations been trending? Because it seems like there has been more activity around corporate payments, we've seen obviously some larger deals as well. So where are we on the valuation side with M&A? Has it changed your appetite in any way?
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah, Tien-tsin, it's Ron. I think it probably has drifted up a bit, with the cost to capital still. And so I'd say for us, we say this all the time, we really look at the year-one plans for these deals, and we don't buy things that don't look like a decent price to us kind of one year out. So, that's really the benchmark. So I'd say to you that if we can't find a transaction where we like that multiple over the next 12 months, we generally don't go ahead. So we've obviously looked at some fair number of things since Comdata and have not pulled the trigger. But as I mentioned, we do have some active things, and one of them is pretty late. So that's always the call for us, is whether they guy want 15 times trailing, our question is just what is it forward. And if we like the year one and the mid-term forward rate, we buy the thing.
Tien-tsin Huang - JPMorgan Securities LLC: Good, good. Okay. No, I know you're disciplined. Just last one, I'll jump off. Just on the Comdata synergy front, with the – on the cost side, how is that tracking versus plan?
Eric Richard Dey - Chief Financial Officer & Secretary: I would say we are pretty much where we had expected to be. So, most of the cost savings and the revenue synergies that we thought we were going to obtain are kind of in the run rate, Tien-tsin.
Tien-tsin Huang - JPMorgan Securities LLC: Great.
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Yeah. I'd add Tien-tsin, the only add to Eric's is I'd say there is a little more room in the IT. I think we mentioned this when we did the transaction, that there was some stuff we did at close, there'd be some stuff kind of along the way, and the longer pole would be IT. So as we've started to look at our budgets for 2016, I'd say there's still probably a little bit of win left in lower IT.
Tien-tsin Huang - JPMorgan Securities LLC: Okay. Terrific. Thanks for the update.
Ronald F. Clarke - Chairman, President & Chief Executive Officer: Good to talk to you.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.